Operator: Good afternoon. My name is Gabrielle, and I will be your conference operator today. At this time, I would like to welcome everyone to the SYNNEX 2015 First Quarter Earnings Conference Call. All lines have been placed on a listen-only mode to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Today’s conference is being recorded. If you have any objections, you may disconnect. Thank you. At this time, I would like to pass the call over to Deirdre Skolfield, Senior Director of Investor Relations at SYNNEX Corporation. Miss. Skolfield, you may begin your conference.
Deirdre Skolfield: Thank you, Gabrielle. Good afternoon, and welcome to the SYNNEX Corporation Fiscal 2015 first quarter conference call for the period ended February 28, 2015. Joining us on today’s call are Kevin Murai, President and CEO; Dennis Polk, COO; Marshall Witt, CFO; and Chris Caldwell, EVP and President of Concentrix Corporation. Please note that some of the information you'll hear today will consist of forward-looking statements, including without limitation those regarding revenue, net and operating income, EPS, expenses, debt repayment, share repurchases, integration, tax rates, ROIC, cash flows, growth, and on-boarding, vertical focus, consulting capabilities, contributing factors to earnings, demand, and shareholder value. Actual results or trends could differ materially from our forecast. For more information, please refer to the risk factors discussed in our Form 10-K for Fiscal 2014 and our Form 8-K filed with the SEC today, along with the associated press release. We assume no obligation to update any forward-looking statements, which speak as of their respective dates. Also during this call, we will reference certain non-GAAP financial information. Today’s earnings release and the related Form 8-K available on our website at SYNNEX.com present the reconciliation between our non-GAAP and GAAP reporting. This conference call is the property of SYNNEX Corporation and may not be recorded or rebroadcast without our specific written permission. Now I’d like to turn the call over to Kevin for an overview of our results. Kevin?
Kevin Murai: Thank you, Deirdre. Good afternoon everyone and thank you for joining our call today. I am pleased to report another record quarter of financial results for SYNNEX. Through focused efforts, disciplined investments and ongoing execution we continued to deliver revenue growth, increased earnings, and margin expansion. And while our results are very good, we did not meet our stated goals this quarter, primarily due to lesser than expected sales in our Hyve solutions business, a slower than expected start in the calendar year in our specialty retail distribution business and a longer ramp period that forecasted of a major Concentrix program. Fortunately, we believe these challenges are short-term and our core Technology Solutions and Concentrix businesses are solid. Within our Technology Solutions segment, overall IT demand was strong in December. However, January had a slow start to the New Year. The market returned to normal demand toward the end of February. Within the US, our commercial business was stable with public sector being notably strong. Our consumer business was softer as a result of a slow start to the New Year and the ramp down of a large vendor. Our Hyve solutions business performed well and grew from a year ago, although sales were lower than our forecast. Canada was similar to the US, as the commercial business was stable and the consumer business was somewhat softer. The overall IT market in Japan declined from a year ago, although we have seen positive signs that demand has normalized coming off of the turbulence to last year, driven by the consumption tax increase. Profitability in Technology Solutions was strong and increased to an operating margin of 2.49%. This is about a 30 basis point improvement from a year ago. We continued to execute well on the core business and managed our portfolio to higher profit category. Within our Concentrix segment, revenue was strong at $342 million, representing an increase of $215 million from a year ago. Concentrix non-GAAP operating margin at 7.46% was adversely impacted by about $10 million associated with the ramp up delay I mentioned earlier, which was about $8 million higher than our expectation. We're on track with the transformation and performance of our Concentrix business and we're making good progress on growing the sales pipeline and building out our platforms and identify high margin verticals of banking and financial services, insurance and health care. I'm pleased to report that sales of new business hit a first quarter record both in terms of annual contract value and total contract value. For more color on Concentrix, I'll now turn the call over to Chris Caldwell. Chris?
Christopher Caldwell: Thanks, Kevin. I'm very pleased with the operational performance of Concentrix in Q1, despite the delay started to a large contract, which I'll go into a little more detail later on. As Kevin mentioned, the sales team had an excellent result in signing new logos, expanding business with current clients and renewing business with existing clients. Across the board, we came in on our plan, which represented over four times increase in total contract value signings from over a year ago. As a reminder, these signings could take several months before they produce revenue. Our message and services are being received well by the market and our overall client satisfaction is high. I'm equally pleased that the geographic mix of our business this quarter was well balanced around the globe, with growth in certain geographies that we purchased from IBM that had not grown in the past. Many of these new business wins leverage both our strength of our high value offerings as well are contained within our key growth vertical industries. A few highlights from the past quarter include: renewing a multi-year contract for managing a global consumer electronics company's web presence in 54 languages over 61 countries, extending an already impressive seven-year relationship with the client. We also expanded the significant relationship with a financial institution where we now managed 90% of their back office, which encompasses over 17 unique functions and a 108 processes, while also receiving a partnership award for the relationship we have built over the past year. And last highlight, we signed the largest LOI in our insurance vertical business in the last five years for providing open book management. This provides us great growth opportunities in this vertical, both from our software and BPO services and up to this point we had primarily been focused on closed book business within the insurance companies we target. In Q1, while foreign exchange impacted our revenue by approximately $17 million on a constant currency basis year on year, we still grew to our plan. We experienced a significant impact from a delayed launched of one of our clients, as Kevin mentioned, that resulted in some missed revenue and unproductive costs associated with having stopped trained and on-board with little work to do. The delay was primarily caused by systems both on the client and Concentrix side not being ready in time to transact the business and launch. This delay will run into Q2 with an expected impact of $6 million to $8 million in negative gross margin. The good news is that we have started to execute against the contract now and we expect it to positively contribute to our earnings within this fiscal year. It's a very strategic client to us and it creates new capabilities for Concentrix in the high value area of fraud detection. For the rest of our operations, we continue to execute very well. We continue to win awards and accolades from our clients. In fact, in Q1, we received two awards from different clients for being their top service provider consecutively for the last three years, which is an amazing accomplishment. What makes us even more meaningful is that one of these clients was a legacy IBM client, while the other was a legacy Concentrix client. This exemplifies our efforts at effectively integrating the IBM CRM business. Specific to Q2, while revenue is seasonally softer in the second quarter, we do expect to mitigate some of that softness with the on-boarding of new clients and processes for existing clients that we have signed in the past few quarters. Now looking ahead, we will continue to gain traction on our transformation and I wanted to highlight two key focus areas. First, I'm very excited about our recent launch of our consulting group. These engagements will be focused on transforming and optimizing the business processes related to how our clients engage with their customers. While revenue from this business unit will be small, we believe that each dollar of consulting revenue has the potential to generate a multitude of related services revenue. This group also is able to provide additional avenues to sell our specialty services, such as analytics and technology assets as part of a broader solution set for our clients. Second, as I mentioned in the past, we have identified our focus on key verticals of banking and financial services, healthcare, insurance and technology. And we are making great progress in growing our business in these markets by expanding with existing clients, while developing a very solid sales pipeline and this continues to be our priority for our further investments. In summary, I feel very good about our performance and the positive momentum building across our business as we have planned. We had strong execution in Q1 and the underlying business has solid profitability. I'd like to thank our entire staff in Concentrix for yet another great quarter. Let me now turn over the call to Marshall for further discussion on our financial performance.
Marshall Witt: Thanks, Chris. First, I will summarize our results of operations for the first quarter of fiscal 2015 and key financial metrics and then conclude with guidance for the second quarter of fiscal 2015 before turning the call back out to Kevin. On a consolidated basis, total revenue was $3.2 billion, up 5.8% compared to $3.03 billion in the same quarter of the prior year. Adjusting for FX, revenues in constant currency increased 9% year over year. Our gross profit on Q1 revenues increased to $288 million or 9% of revenues, compared to $207 million or 6.8% of revenues in Q1 of 2014. The increase in revenue and gross profit was largely due to the impact of the IBM CRM acquisition. Technology Solutions segment revenues decreased by 1% organically year over year to $2.9 billion. Technology Solutions revenues were negatively impacted by approximately $77 million due to FX. On a constant currency basis, Technology Solutions segment revenues increased approximately 1% year over year. Concentrix segment revenues were $342 million, up from $127 million in the year ago quarter, due primarily to the acquisition of the IBM CRM business. Q1 total selling, general and administrative expenses excluding one-time acquisition and integration expenses and amortization cost increased as a percentage of revenues to 5.96% or $191 million. This compares with 4.3% of revenues or $130 million in the first quarter of fiscal 2014. The increase was primarily due to the impact of the IBM CRM acquisition. Q1 non-GAAP income before non-operating items, income taxes and non-controlling interest increased by 27.4% to $97.5 million or 3.05% of revenues compared to $76.6 million or 2.53% in the prior year first quarter. At the segment level, Q1 Technology Solutions non-GAAP income before non-operating items, income taxes and non-controlling interest was $71.9 million or 2.51% of revenues, up 11.5% from the prior year quarter result of $64.5 million or 2.22% of revenues. For Concentrix, non-GAAP income before non-operating items, income taxes and non-controlling interest in the quarter was $25.5 million or 7.46% of revenues. Results were negatively impacted by approximately $8 million more than anticipated due to the delayed launch of one client. Net total interest expense and finance charges for Q1 were $6.4 million, down from $6.9 million in Q4 and up from $4.5 million from the prior year quarter. The Q1 expense reflects debt associated with the acquisition of the IBM CRM business. Net other income was $0.1 million in the first quarter of 2015, down from $3 million in the prior year quarter. The prior year reflected a $2.9 million benefit from the class-action legal settlement. The tax rate for the first quarter of fiscal 2015 was 36.2% compared to 36.3% in the prior year period. For the remainder of fiscal 2015, we anticipate the annual tax rate to be in the 35% to 36% range. Our first quarter non-GAAP net income was $58.2 million or $1.46 per diluted share, representing 17.7% EPS growth over the prior quarter. Turning to the balance sheet, our accounts receivable totaled $1.6 billion at the end of February for a DSO of 45 days, which was down one day from the prior year quarter. Inventory totaled $1.3 billion or 40 days at the end of the first quarter, up one day from the first quarter of 2014. Days payable outstanding was 35 days, down seven days from the prior year first quarter. Hence, our overall cash conversion cycle for Q1, 2015 was 50 days. Our debt to capitalization ratio was 33.3%. Preliminary cash flow generated from operations was approximately $200 million for the first quarter. With our good levels of cash flow generated from operations, we paid down a portion of our debt and continue to reinvest back into both segments. At the end of Q1, between cash and credit facilities, SYNNEX had over $700 million available to fund growth. Other financial data and metrics of note for the first quarter were as follows: depreciation expense was $11.2 million; amortization expense was $14.6 million; HP at approximately 24% of sales was the only vendor accounted for more than 10% of sales. Cash capital expenditures for the quarter were approximately $22.4 million, which was primarily related to Concentrix facility expansion due to our business growth. Annualized ROIC in Q1 of 2015 was 7.8%, including the impact of our acquisition-related expenses. Trailing four quarter ROIC was 8.2%, including the impact of our acquisition-related expenses. Excluding the impact of one-time acquisition and integration expenses and amortization, the current fiscal quarter’s trailing ROIC was 10.5%. As described in our press release, the Board of Directors approved a regular quarterly cash dividend of $0.125 per common share to be paid on May 1, 2015 to stockholders of record as of the close of business on April 17, 2015. Now, moving to our second quarter 2015 expectations, we expect revenue to be in the range of $3.375 billion to $3.475 billion. For non-GAAP net income, the forecast is expected to be in the range of $60.2 million to $62.5 million. And non-GAAP diluted EPS is anticipated to be in the range of $1.50 to a $1.56. The non-GAAP diluted net income and non-GAAP EPS guidance excludes the after-tax costs of approximately $8.7 million, or $0.22 per share related to the amortization of intangibles. Weighted average shares estimated for diluted EPS are 39.5 million. These expectations include an anticipated negative currency impact of approximately $130 million of revenue. Please note that these statements of Q2 expectations are forward-looking and actual results may differ materially. I will now turn the call back over to Kevin.
Kevin Murai: Thanks, Marshall. Further to the second quarter guidance Marshall discussed, I continue to be optimistic on our business and the markets in which we operate. We are seeking continued strength and stability in IT demand in all our geographies and we expect to continue to perform better in the market. We expect that the continued strength of the US dollar will impact our top line in Canada and Japan and then our specialty retail distribution business will be impacted short-term as we replace the lost business. We expect to make good progress in growing and enhancing our Concentrix business, but also expect a temporary impact to our profit related to the on-boarding of the major program as Chris discussed. Our businesses in Technology Solutions and Concentrix are solid. We make it our mission to perform well in any market environment. We have talented people, a clear business strategy and a winning attitude. And I have confidence that we will continue to deliver shareholder value that we can all be proud of. I want to thank all our associates around the world for their ongoing hard work and dedication and our business partners and shareholders for their continued support. And with that, let’s turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Brian Alexander with Raymond James.
Brian Alexander: I just wanted to go through the revenue shortfall, Kevin, you talked about three issues, I believe, Hyve specialty retail and then the Concentrix customer ramp issue. So if we look at the roughly $220 million in revenue shortfall in the first quarter, can you just size each of those issues so we can get a sense for the main drivers were? And given your revenue outlook for Q2, it looks to be well above what would be normal seasonality, 7% versus flattish, what are you assuming for each of these items normalizing and what gives you the confidence that will occur?
Kevin Murai: So first of all, looking back on Q1 revenue, really two key drivers of the revenue shortfall to our expectation. First was the slow ramp in the consumer business and the second was our Hyve business. And again, the Hyve business did grow and it’s a solid business, but it just didn’t meet the internal forecast that we had for the quarter. The Concentrix contract issue that we discussed really was a profit-related issue, not a revenue related issue. And then looking at our second quarter, as I said, we continue to feel good about our overall markets. From a revenue perspective on the distribution side of the business, continued stability pretty much across all three geographies that we operate in, but we do expect that FX is going to play a role on a year-on-year basis as Marshall have mentioned, $130 million where the vast majority of that will be on the Technology Solutions side of the business. And then as you know, we wind down our Beats relationship last quarter. And so as we continue to replace that business with other business, that will be a bit of a head wind at least in this current quarter.
Brian Alexander: Was this specialty retail shortfall primarily the Beats issue or was there more of a broad based consumer demand issue that you saw in the quarter may be around consumer notebooks or other products, I’m just trying to get a sense for whether that was broad-based and why you assumed that that’s not going to linger?
Kevin Murai: For Q1, it was really a broad-based market comment. And without even getting into specific product categories, it was just a very slow start to the year, part of it too Brian was driven by a very strong December, coming off December, we had a lot of optimism that we would continue to see that strength through January and February and actually what ended up happening was it was a slightly slower than normal seasonality drop in the retail markets, but it was across the entire business.
Brian Alexander: And then just one clarification just to wrap up here, on the Concentrix side, you had 7.5% operating margin, it looks like you would have been closer to 10% if I back out the unanticipated impact of the ramp issue and I know you also had duplicate costs in there as you were finishing the integration. So what I’m wondering is once we get past this ramp issue, what’s preventing you from exceeding 10% operating margins consistently in the business, given that you would have been pretty close in the February quarter and you still had duplicate costs?
Kevin Murai: Brian, the Concentrix business is a solid business and a good chunk of the underlying business that we have there is very profitable business. But keep in mind that we will continue to make investments in that business and new capability as we on board new contracts. And in addition to that, Q4 is seasonally a stronger quarter for Concentrix. And so that does play a role and enhanced profitability too.
Operator: Our next question comes from Matt Sheerin with Stifel.
Matt Sheerin: Just a couple of follow-ups on Brian’s question. Just one regarding the IT demand environment, it sounds like aside from consumer in that Hyve’s issue that you talked about, it sounds like you’re seeing fairly normal demand trends, of course, there’s been concern with the Intel pre-announcement just concerned about PC slowdown, and then some signs that there might be annual price slow down, but seems like you’re seeing fairly normal trends. Could you be a little bit more specific in what you’re seeing, Kevin?
Kevin Murai: Matt, that really is our view and obviously it’s going to be slightly different take on what we saw last quarter category by category. From an overall client perspective, that market still was a market of growth, desktops were little bit lower in that category, but notebooks continue to be relatively strong. But other client devices, tablets, other mobile devices, I should say, were quite strong. And then just moving a little bit out from that into enterprise, server was relatively strong category as well. So when you net it all out, the commercial markets are pretty stable. Really what we saw last quarter in softness or at least a slow start to the New Year was on the consumer side of the business.
Matt Sheerin: And in the Hyve’s business, it sounds like it was a little lumpy and in the past quarters, you’ve talked about growth there. Just in terms of how you see that market playing out this year, what do you account for that slowdown lower than expected in the last quarter and part of that sequential growth that you’re forecasting this quarter, is Hyve part of that, were you expecting that to rebound?
Kevin Murai: You know, Matt, I wouldn’t call it a slow down. First of all, the market that Hyve operates in continues to be in emerging and growth market for us. Hyve is a good business. We did grow our Hyve business in Q1, but again, coming off a strong first month of the new quarter, we thought that our forecast for Hyve business would be a little stronger when they came in. Keep in mind that Hyve is a projects-based business. It is in emerging market and we have a smaller number of customers in that business than we do in the broader technology business. So it is somewhat more difficult to forecast. Unfortunately, even though we did grow, it’s a good business, it just came in below where we thought we would be.
Matt Sheerin: And if I can just sneak one more in just regarding the consumer retail business and that Beats product line going away, you talked about backfilling that with other products, could you be more specific about what you’re talking about there?
Kevin Murai: Sure. And so this is contained within our retail business. So we were the sole distributor for the US for Beats up until very recently. And as the wound down that contract last quarter, it had been our plan for the past number of months to replace that business with not only other like product in the entertainment category, but other related products both from a consumer IT as well as from a consumer electronics. And we’re making good progress there. It’s just that the growth of those new products didn’t ramp up as quickly as we wound down the Beats relationship.
Operator: Our next question is from Bill Shope with Goldman Sachs.
Bill Shope: Could you give us some more color on the stability you mentioned that you were starting to see in Japan and how are you thinking about the cadence of the Japan business as we progress through the year? Comps are obviously very difficult in the early part of the year, but as they ease up, are you expecting growth to pick up considerably if you could give some color on that?
Kevin Murai: Japan, of course, had probably the most exaggerated growth profile from a year ago, because they had both the impact of Windows XP and its support as well as the consumption tax increase in April. So going back to a year ago, our Japanese business grew in the 40% range in the first half of the year. From last summer, we actually saw the overall IT market and the overall economy actually slipped down negative. So it’s been a bit of turbulence over the past two to three quarters in Japan. But what we’re actually seeing, even though the overall in Japan most recently has been negative growth year on year in the IT markets, we’re actually starting to see it stabilize and I think we’ll get a return to growth overall in the second half of this year. And that’s really a market comment though.
Bill Shope: And then on your comments earlier that servers were strong, are you starting to see some of the refresh activity that everybody has been focused on ahead of the Windows server 2003 expiration or is that still [indiscernible]?
Kevin Murai: I think it’s really a combination of a couple of things. Servers have been growing over the past couple of quarters. Part of it is driven by server 2003 and its support, but other part is in the enterprise category that is a little bit different than server 2003 as well. So I think just in terms of overall enterprise refresh as well as server 2003 we’re seeing growth.
Bill Shope: On the Hyve business, are you seeing any changes in the competitive dynamics for that business or is it really just the demand lumpiness from the customer base?
Kevin Murai: Really it’s the demand lumpiness. As I said, it’s a great business for us, it’s a growth business, but it is somewhat difficult to forecast. It just so happens we didn’t forecast to what our actual demand was last quarter.
Operator: Our next question comes from Ananda Baruah with Brean Capital.
Ananda Baruah: I had a few, if I could. The first is for Kevin. You’re actually off to a pretty solid start, commented regard to this topic, notwithstanding versus a tough compare a year ago, the compare is getting a little tougher as you move through the year and I think it’s stated on the call so far, what some of the tailwinds are that are – that you have rolled off with XP, with Japan consumption and with Beats, but you’re off to a solid start after tough compares. Is it your expectation without giving guidance unless you would like to give guidance, you can grow revenue this year after the tough compares?
Kevin Murai: We certainly anticipate that there were going to be headwinds this year, but we have a handful of important new relationships that we on boarded late last year. We continue to drive our efforts in growth markets. Ananda without giving formal guidance, it is always our objective to grow our business and we will figure out a way to do that.
Ananda Baruah: And then just with regards to, and this is probably for Chris, with regards to Concentrix projects stand up dynamic, I guess how confident Chris are you guys that this is sort of one-off-ish in nature, or should we expect it to be one-off-ish in nature, with any additional context around that, that’d be great. And the reason I’m asking is now that you’re fully in to having your arms around the IBM business, I would think that the dynamic of a lot of deals you begin to stand up will be different from what you’re used to, so just trying to get a sense of what mechanisms are in place to try to handicap the potential for this dynamic not happening again or happening again, how should we think about it philosophically?
Christopher Caldwell: I think two points. If you look over the past year, we’ve increased our headcount by many thousands of people and successfully executed and grown the revenue and grown our relationships with clients. In that regard to this specific contract, there’s a significant amount of complexity which we knew going into this contract, just in regards to the technology being developed which were part of as well as working with our client to develop as well as the interoperability between a number of different systems. And really it came in late January where we sat down and said, look, to do this successfully, we’re going to have to ramp this little differently than what we were originally expected and came to a mutual agreement with the client on how we want to do it. So it is very controlled. We could have brushed it, but we didn’t think that was frankly prudent and we took the right decision to do what we did and continue to ramp it. And we’re executing to our new plan as we expected. So frankly we feel pretty confident that we know where things are and we know where they’ll get to over the course of the year. And as we talked about in the prepared remarks, our expectation is that’s going to positively contribute to our performance this year. The number of the programs over the course of the last year that we ramped had a same level of complexity, if not more than the business we purchased from IBM. And we executed exceedingly well with those programs as result to our growth in our numbers. So while there can always be hiccups, we have a lot of systems in place to ensure that they don’t happen and that we execute for our clients.
Ananda Baruah: So that would suggest this is more one-off-ish in nature and appreciate the context. And I guess one for Marshall, the distribution operating margins [indiscernible] pretty solid, could you just talk to us the dynamic, even though the revenue was maybe a little bit soft than you guys thought, can you talk to the dynamics there? Was there anything to do with mix, maybe with retail being softer, just any context there would be useful?
Marshall Witt: So across the board, just good strength on the margin in many categories. So mix was part of it, just strength in growth was part of it, and Kevin anything you want to add to it just in terms of flavor or product?
Kevin Murai: Sure. And really it’s the same two things we’ve been talking about. Number one is overall we are growing in – as we evolve our business to higher margin markets, we do have a natural expansion of margin. But number two, where we perform for our vendors, we do get paid for it. And our performance in the IT space, commercial space was solid and we got rewarded for that.
Operator: Our next question comes from Osten Bernardez with Cross Research.
Osten Bernardez: The first question I have is with respect to the comments on the new consulting business that you’re growing within Concentrix. I wanted to know whether the experts you have within that business are individuals that you on-boarded when you acquired IBM or are you seeking to hire new people to build out that business?
Christopher Caldwell: So it’s actually a combination of both. We’ve actually been doing some of this consulting over the past year, although not in a formal group capability and a lot of that DNA came from PWC staff and IBM staff that came with the acquisition and now we’ve more formalized the group. But as part of the growth and as part of the clients that we’ve won with some of the consulting that we’ve done over the last little while, we actually are bringing in net new individuals to the organization who have the background and subject matter expertise that we’re looking for to continue to grow that group.
Osten Bernardez: And then Marshall, how should I be thinking about your cash stood up this quarter as expected, even though your cash cycle days were up a little bit. How should we be thinking about your cash flow generation throughout the year as you ramp up these new businesses that you discussed during the call?
Marshall Witt: As we spoke last quarter, we’re confident about our cash flow generation for all of fiscal 2015 and certainly off to a good start with Q1 and expect continued progress on cash flow generation. Of course coming with that will be the growth of the business and making sure we manage the working capital growth, but feel good about the rest of the year.
Operator: Our next question will come from Jim Suva with Citi.
Jim Suva: On the business that you said that was ramping up slower, can you give us a little bit of history on is this basically SYNNEX Concentrix business or was this from IBM where the discussions, legacy SYNNEX or where they pre-acquisition of IBM, trying to get some history about the ramping, the timing of the contract in the discussions?
Christopher Caldwell: The contract is actually a net new contract to Concentrix organization, there was no history with either the IBM portion of the business or legacy Concentrix portion of the business. We want it actually a combined company and as a go-forward company in the prior year. There was a high level of complexity to it, as I mentioned earlier with a lot of system work and we’re building a platform in order to manage a lot of disbursed data bases and do some fairly sophisticated fraud detection and fraud analysis and collection of monies that were driven from fraudulent use of systems. And frankly, we knew going into it’s going to be a long process, but subsequent delays on both the client side and our side pushed us off a few months. But now, we have started to execute against the contract and we’re executing to our new plan and it’s going quite well.
Jim Suva: And then a quick follow-up, you mentioned $6 million to $8 million gross margin cost, I assume that all falls through after taxes to the bottom line which would be about $0.10 to $0.12 quarterly impact. And you said Q2, does that mean it completely goes away after Q2 and we are looking at Q3 on an apple to apple basis a step up in earnings, $0.10 to $0.13 just considering that lone stand alone item plus the benefit of the program ramping up profitably, am I thinking it right or there are additional cost beyond Q2 to account for their stand up or recurring?
Christopher Caldwell: Without providing guidance, really we are looking at Q2 there is an additional drag on, if you notice that it is much less than Q1 and you can expect that when we talk about this contributing profitably to our business by the end of the fiscal year that there will be additional cost in subsequent quarters to some amount to get to there. The guidance we gave at $6 million to $8 million is at the gross margin range, so it does fall through to the bottom line and Marshall I don’t know if there’s anything else that you want to?
Marshall Witt: No, I think you captured it and Jim you got it right.
Jim Suva: And then finally, when you think about the long-term return on invested capital or return on investment or whatever, am I correct to say this is a very long-term multiple year contract, because it seems like starting out on year one it’s quite detrimental to what you do strategically financially worthwhile?
Marshall Witt: Jim, it is a multiple year contract with additional opportunities to extend that contract at both mutual decision, ourselves and the client. It also builds up some capabilities that we can use in other areas, so there are some side benefit to it from that perspective. But as we go into these types of contracts, and these bigger contracts which we frankly have executed against within the last year with other clients, they do have to measure up to our financial return metrics and our return on capital metrics and this deal is no different and would fall within that regardless of the upfront cost that you’re seeing right at the moment.
Jim Suva: And then my last question on Hyve, you mentioned you had missed your internal business targets, was that purely due to just you thought some business was going to come in or you’re forecasting a few numbers didn’t come in right, or do you think that there were some share shifts maybe with some white box makers or something like that?
Kevin Murai: We don’t believe there were share shifts, certainly not a major factor. Really it was just, I guess listening to the key clients that we had, in some cases, we were used to actuals coming in higher than what they had forecasted and in this case we were just off. But we don’t expect to be off the current quarter.
Operator: Our next question comes from Rich Kugele with Needham.
Richard Kugele: Just a few questions. I guess first, just a follow up on that last one on Hyve. When you go and look at your new guidance for revenue taking into account currency relative to where consensus is, really the currency is the entire delta versus the midpoint. So clearly you’re expecting business to improve sequentially in a few areas and it should be a part of that Hyve business coming back and then do you backfill some of these specialty retail with the rest of the business just being stable?
Kevin Murai: That would be a good view on that, yes. We do expect our Hyve business to grow sequentially. We do expect to see a better demand environment on the consumer side of the business and we expect to see continued stability in commercial.
Richard Kugele: On the $130 million of currency impact, since we’re all watching it with a magnifying glass now, can you give us a sense of what your expectations are for the relative currencies, I suppose that that’s the Canadian dollar and the yen?
Marshall Witt: The guide we provided is real-time, it’s as of what we know this week. So the reflection point reflect that in the various countries we operate in.
Richard Kugele: So it is based on the current exchange rate?
Marshall Witt: Yes.
Richard Kugele: And then lastly, the cash conversion cycle, how much of the year over your delta is just the IBM acquisition, is that the bulk of it?
Marshall Witt: No, very little. We don’t break it out, but no, very little impact. Again, happy with the quality of the portfolio on all fronts and the BPO just more of a timing and the snapshot at quarter end.
Operator: Our next question comes from Kevin McVeigh with Macquarie.
Kevin McVeigh: Can you give us a sense of the $130 million impact to revenue from the FX, what’s the earnings impact related to that?
Marshall Witt: Roughly just consider at the same normal fall through of margin for the respective businesses, that’s the way to look at it.
Kevin McVeigh: Was there any weather-related impact to the revenue in the quarter, obviously I know there’s been certain parts of the country you’ve seen some pressure from a weather perspective, any weather impact in the business?
Marshall Witt: There was very little impact. We may have had shifts from day to day, but certainly all contain within a quarter.
Kevin McVeigh: And then on the Concentrix side, it sounds like you’re doing a nice job scaling up in terms of contracts, anything in terms of pipeline that you can talk about in terms of signed revenue, just to give us a sense how that’s been trending quarter to quarter and ultimately how that should come in just very generally if you could?
Christopher Caldwell: We occasionally will comment on contract signing, but we don’t make a habit of it. I can tell you we’ve been very pleased obviously for the last year and we’ve made a couple of mentions within the calls, including today where we talked about year over year our pipeline signings were four times as high as last year. And so, we’re quite happy with where we’re executing from a pipeline perspective and also frankly the quality of the deals that we are getting and then the verticals and the pricing that we’re getting, we’re quite happy with as well. So outside of that, I don’t think I really can provide much more color.
Kevin McVeigh: And then just last thing on state budgets, I know it’s still little too early, but any sense of as the economy improves, how the state budgets have been trending as you think about the business?
Kevin Murai: Just maybe a comment on overall public sector first. Public sector for us, and I even called out it had been certainly a notable market for us in terms of strength the last quarter. State and local had been very, very strong last year and a half or so, federal certainly picking up over the last number of months. I haven’t heard anything more specific than that looking out, but our expectation is that public sector overall including state, local and education will continue to be a pretty robust market.
Operator: And our next question will come from Lou Miscioscia with CLSA.
Louis Miscioscia: I guess I’d just continue on the comment of state and local, any additional differentiation on any industry verticals, I assume there are small and medium business very well, but maybe can you just give me any kind of more color or comment that you have there?
Kevin Murai: Just in terms of relative market growth and strength, overall public sector was strong. Commercial overall was a good market, F&B in particular was also very, very good. Actually the only submarket to point out was retail which was again because of the slow start to the New Year was below our expectation. But again, we do expect that to continue to improve this quarter.
Louis Miscioscia: On the Hyve business, I think it’s 5% or 10% of TS revenue, would you start to break that up separately?
Marshall Witt: Lou, there are a number of factors that would go into it. Frankly that business is integrated into our overall Technology Solutions business and the way that we manage it is really consistent with other parts of our business. So likely not, but again, it really depends on how that business continues to evolve over the next year or so.
Louis Miscioscia: On the Concentrix side, are the Concentrix contracts in US dollars and really the FX issue is more to do with the yen and the Canadian dollars?
Christopher Caldwell: Some of our contracts are in other currencies, we do contracts in yen, Australian dollar, Canadian, sterling and euro. So we do have a mix of different currencies within our portfolio, but the largest chunk is US dollar.
Marshall Witt: And then looking at the total $130 million, first of all just on a revenue ratio basis, the majority of that will come from – of the $130 million will come from technical solutions and yes, are Japan and Canada.
Louis Miscioscia: On FX and easy to do the math there, should we expect that same kind of hit as we go through the whole year, if we’re assuming that flat currency for the dollar going forward?
Christopher Caldwell: Lou, it’s very hard for us to forecast what FX rates are going to be going forward. As Marshall mentioned earlier, our view on Q2 right now is really based on what the current currency landscape looks like today.
Louis Miscioscia: I was implying a flat dollar going forward, and just extrapolating that after the rest of the year?
Christopher Caldwell: I’d have to go back and take a look at where the currencies where.
Operator: And this concludes the question and answer session. I will now turn the conference back to Deirdre Skolfield for closing remarks.
Deirdre Skolfield: Thank you, Gabrielle, and thank you everyone for joining our call. We look forward to speaking with you during the quarter. This concludes our call.
Operator: And with that, we conclude today’s conference. Thank you for your participation. You may disconnect your lines at this time.